Operator: Good morning, ladies and gentlemen and welcome to the Boralex First Quarter 2022 Financial Results Conference Call. [Operator Instructions] I would now like to turn the conference over to Mr. Stephane Milot, Senior Director of Investor Relations for Boralex. Please go ahead.
Stephane Milot: Thank you, Operator. So good morning everyone, welcome to Boralex first quarter results conference call. So joining me today from our head office in Montreal are, Patrick Decostre, President and Chief Executive Officer, Bruno Guilmette, our Vice President and Chief Financial Officer and other members of our management and finance team. Mr. Decostre will begin with comments about market condition and the highlights of the quarter. Afterward, Mr. Guilmette will carry on with financial highlights and then will be available to answer your questions. As you know, during this call, we will discuss forward-looking and historical information. When talking about the future, there are a variety of risk factors that have been listed in our different filings with securities, regulators, which can materially change our estimated results. These documents are available for consultation at sedar.com. So in our webcast presentation document, the disclosed results are presented both on a consolidated and on a combined basis. So unless otherwise stated, all comments made in this presentation will refer to combined basis figures. So please note that combined is non-GAAP financial measures and do not have standardized meaning under IFRS. Accordingly combined may not be comparable to similarly named measures used by other companies. For more details, see the non-IFRS and other financial measures section in the MD&A. The press release, the MD&A, the consolidated financial statement, and the copy of today’s presentation are all posted on the Boralex website at boralex.com under the Investor's section. If you wish to receive a copy of these documents, please contact me. So Mr. Decostre will now start with his comments. Please go ahead Decostre.
Patrick Decostre: Thank you, Stephane, good morning, everyone. It's a pleasure for me to present our results and achievement for the first quarter. I'm very proud of all the hard work our teams in Europe and North America have put together in the past few months. Everyone in the organization contributed to this 13% growth in EBITDA and 28% increase in consolidated AFFO but also to the closure of two significant partnerships and the additions of projects to our pipeline as well as the selection of wind projects in the most recent request for proposal in France. That being said, the market conditions continue to rapidly evolve during the quarter. In the U.S. investment in renewable energy have been integrated into a plan aimed at bringing back manufacturing to the United States and reduce inflationary pressures. The federal government is also quickly committing infrastructure investment and job act fund to deploy $7.5 billion in electrical vehicle recharging infrastructure. The increased adoption of electrical vehicles is expected to increase power consumptions by 1425 terawatt hour in the United States by 2050, an increase of 36% compared to the 3930 terawatt hour consumed in 2021 considering only the electrification of transportation. In Canada, Hydro Quebec made public its 2022, 2026 strategic plan, taking into account the energy transition underway and the government's ambition reflected in its 2030 plan for green economy. Hydro Quebec expect that more than 100 terawatt hour of power will be required in Quebec by 2050. Among the avenues identified to reach this objective Hydro Quebec intends to rely on the development of wind energy by building with partners’ 3,000 megawatts portfolio of wind energy projects by 2026 to be developed as and when the need arises. Hydro Quebec also announced recently request for proposals for 1,000 megawatts of wind and the 1,300 megawatts of renewable energy. In Europe, the geopolitical context reinforce the need to ensure security of energy supply and sovereignty. The sharp rise in energy prices in France, mainly due to maintenance and corrosion problems to solve nuclear reactors could also significantly favor the development of renewable project and corporate PPA in the coming years. I will now review the main variances in our portfolio of project. The 73 megawatt increase in the early stage was due primarily to the addition of three new wind power projects and two new solar projects totaling 75 megawatts in Europe as well as the addition of two new solar projects totaling 25 megawatts in North America. This was partly offset by the inclusion of a wind and solar power project totaling 9 megawatts in Europe under the mid stage phase and change in the expected capacity of a solar power project as well as the discontinuation of a wind power project for a total of 18 megawatts in Europe. The 159 megawatt increase in the mid stage was due primarily to the addition of a wind project and adjustment to the pipeline following the announcement of the partnership agreement with Hydro Quebec and energy representing a total of 167 megawatts. The increase also comes from the inclusion of a wind power project and solar power project under the mid stage phase, and change in the expected capacity of a solar and wind power project in Europe for a total of 12 megawatts. The increase was partly compensated by a 20 megawatt solar power project in Europe moving to secured phase. The 116 megawatt increased to advanced stage was primarily due to the addition of a project and adjustment in the pipeline following the announcement of the partnership agreement with Hydro Quebec and energy for total of 133 megawatts change to the expected capacity of wind project in Europe also at nine megawatt. This was partly offset by the inclusion of a 26 megawatt wind project in Europe in the secured phase. In total, we are now developing a portfolio of wind and solar project of 3.6 gigawatts and 177 megawatts of [Indiscernible] project. Let's review changes to the growth path now. The 38 megawatt increase in the secured stage was driven by the inclusion of two wind projects totaling 46 megawatts, and capacity addition of 6 megawatt to existing projects, this was partly offset by the inclusion of a 14 megawatt wind project to the under construction and ready to build phase. Project under construction already to build phase increased by 14 megawatts by the addition of wind project. As shown in the growth paths, we add assets in operation with 2492 megawatts of installed capacity as at March 31, 2020, to the same as at December 31, 2021. And then installed capacity of 2,447 megawatt of May 10, 2022 following the disposal of two power stations after the end of the quarter. Commissioning of secured phase secured facilities and project under construction is expected to bring our installed capacity to 3146 megawatts. In conclusion, as you can see on the slide 12, we are pursuing the execution of our strategic plan and are making good progress on all the four strategic orientations. I won't cover in detail our progress as I already have highlighted our main achievements. One last point for my part, earlier this week, we announced the results of our most recent CSR scoring by EcoVadis for our French operations, I'm very proud to say that we got the gold medal being classified in the top 95 percentile of corporations in our industry evaluated by EcoVadis. This shows the dedication of all our employees to constantly improve on CSR and brings one step closer to our goal of being recognized as a CSR reference by our different stakeholders. This completes my part. I will now let Bruno covered the financial portion in more detail, and we'll be back later for the question period. Bruno?
Bruno Guilmette: Thank you, Patrick. Good morning, everyone. I will start with a review of the progress made in light of our 2025 corporate objectives. As mentioned by Patrick earlier, capacity decreased slightly following the sale of our last thermal plant. Total capacity now stands at 2.4 gigawatts of 100% pure renewable energy. Our last 12 months EBITDA and AFFO increased due to strong results for the first quarter. Our reinvestment ratio now stands at 55%, which is in line with our 50% to 70% target. About our CSR strategy, we continued to make good progress with the launch of quantitative assessment of physical impacts of climate change according to the recommendations of TCFD. We released our commitment made as part of the [Indiscernible] campaign to increase women in management positions, and added diversity targets in variable compensation. Finally, we published our sustainability procurement charter and the assessment of ESG practices at and with our key suppliers. Taking a look at our debt objective now, our corporate debt to total debt ratio increased slightly compared to the end of 2021. We are pursuing to work to our objective to obtain an investment grade rating and adjust accordingly the proportion of our corporate debt. I will now cover the financial results for the quarter, starting with production. First quarter wind conditions were good in Canada but slightly weaker in France. Wind production in Canada was 5% higher than anticipated production and 6% higher than in the same quarter last year. In France, wind production was 6% lower than anticipated and 4% lower than in the same quarter last year. Overall, total wind production for the quarter combining Canada and France was in line with the anticipated production and 1% higher than last year. Turning to hydro now, it was another strong quarter for our U.S. assets with production 4% higher than anticipated, and 39% higher than in the same quarter last year. Canadian hydro at production 6% higher than anticipated, but 18% lower than last year, total production for the hydro sector was there for 5% higher than anticipated and 10% higher than in the same quarter last year. Finally, production from solar assets was particularly strong at 15% higher than anticipated. In summary, total production for the quarter was 4% higher than anticipated and 2% higher than last year. First quarter combined revenues were up 9% compared to last year, mostly due to the high pricing level in France and to the increase in wind production in Canada as well as hydro and solar production in the U.S. For the first quarter of 2022 combined operating income was up 16% EBITDA at 183 million compared to 162 million for the same quarter of 2021 a 13% increase. We generated 137 million of consolidated net cash flows related to operating activities 3% higher than last year's first quarter. Cash flows from operations were 136 million in the first quarter at 21 million increases over the same quarter last year. AFFO was 77 million compared to 60 million at 28% increase. Our financial position remains solid with our net debt to total market capital ratio of 43% on March 31, compared to 48% on December 31, 2021. In conclusion, it's a strong start for Boralex year-to-date. Two significant partnerships, one in France, and the other one in Quebec will allow us to accelerate growth in these strong growing markets. Three projects totaling 65 megawatts selected in the most recent requests for proposal in France. These announcements, combined with the strong growth in our results, highlight the motivation and dedication of our teams to deliver our 2025 strategic plan. We are in excellent position to pursue our development in the context of particularly strong needs in the short and medium term for renewable energy. Thank you for your attention. We are now ready to take your questions. 
Operator: Thank you. [Operator Instructions] And our first question comes from the line of Mark Jarvi with CIBC Capital Markets. Your line is open. Please go ahead.
Mark Jarvi: Thanks operator. Good morning everyone. First question is just on the New York solar projects in terms of the projects that you're already have secured contracts and the ones you bid, some outlined in terms of your plan for sourcing panels, given obviously, the ongoing tariff dispute in the U.S.?
Patrick Decostre: Yes. hello, Mark. The situation is as you know, limit us to two source panel today for this project. We have no short term Cliff date on this project that's an important starting point. So we will wait for the situation to settle down and understand what are the different possibility. For sure we will have like many industry player we will have power price conversation with the off taker, because that will be needed. But on the other side, what I think is that specifically New York State as strong commitment for 2030 wants to achieve these commitments and then they will have to solve the things. We see some trends on the on the PPA generally speaking in the U.S. So I presume that we will see the same trend in New York. So essentially, that's what we do. We continue to develop the project because the fundamentals of the project are good. They're well located, well accepted. And we have applied for breach connection. And so we are optimizing that.
Mark Jarvi: So a couple questions to clarify. Have you secured any panels for any of the projects that are in secured project list? And then the second, is this uncertainty impacting all the release of the current RFP results in meeting this update on what the expected timing of those are?
Bruno Guilmette: The second question, second question, sorry Mark your line.
Mark Jarvi: On the pending RFP results I think we expected some announcement by now we haven't had anything in the solar tariff dispute impacting that at all or do you have any sense of what's taking a bit longer to get the results on the pending RFP?
Bruno Guilmette: Okay. On the first point we have not secured panel for the 2019 project and on the pending RFP we should be very close to the disclosure. But I cannot say more. We are waiting for the official disclosure of the tender results.
Mark Jarvi: Okay. And then last question for me is just France obviously very high spot prices. We heard from one of your peers about breaking contracts [Indiscernible] and potentially in early termination and locking in some corporate or long term, medium term hedges, and then I guess second would be prospects for continued development of projects with corporate PPAs as opposed to the competitive tenders approach?
Bruno Guilmette: Yes that's clear. That's something which completely changed the situation in Europe and in France specifically because of the specific French constraint on nuclear. So, the answer is we are working to optimize the contract with small remaining tail and discussing to optimize this part. So I think you have all the figures of the power. All the totally transparent, all the contract do not have a free termination, some of the contract at some termination clauses, which are not for free. So we need also to analyze and we have this analysis, and we will come back to the market when it will be accepted and settled also.
Mark Jarvi: And then just second part of the question, in light of the high stock prices, are you seeing, obviously expectations either be strong corporate PPA demand? Are you seeing opportunities to accelerate some projects and go that route the competitive RFP?
Bruno Guilmette: Yes. Sure. Sorry. In the past, corporations were essentially signing corporate PPA for greening their portfolio of procurement and for their ESG commitments. Today, it's clearly a question of economical interest, and economical point of view to to add a part of their power which is where the price is secure on a long term basis. So the answer is yes, we have a lot of demand. And I think it's very good news for us as a fundamental.
Mark Jarvi: And the expectation is we procure some announcements at some point, maybe this year.
Bruno Guilmette: We are, as you know, we are working hard to optimize our portfolio of sales. Price are very high for the last quarter of the year and the next the first quarter of next year. So if we can do something before. we will.
Mark Jarvi: Got it. Okay. Thanks. 
Operator: Thank you. And our next question comes from the line of Nelson Ng with RBC Capital Markets. Your line is open, please go ahead. 
Nelson Ng: Great, thanks. Good morning, everyone. My first question is just the follow up. So did you say that all so I guess some of your older French facilities have contracts that do have termination fees, and others don't have brake fees to break the PPA and then for the ones where there are no termination fees you are working on looking at opportunities to optimize those facilities, is that right?
Bruno Guilmette: Yes. The answer is yes to both questions in essence.
Nelson Ng: Okay, got it. And then the other just kind of switching gears a bit. Can you give a bit of, can you give an update on the Limekiln wind project? I saw the press release the other day, but can you just talked about I guess, what the expansion got a green light and can you just talk about next steps for that project?
Patrick Decostre: Yes. I think like we mentioned probably five, six quarters in the past that there was a change to the transmission use of system charge. And so, we have decided at that time and the project was affected by that. So, we have decided to do two things, firstly is to increase the size of the turbines from the first project Limekiln project as we call it at that time, to have to reduce the COE, one thing and on the other side, we have applied for an extension of the project and so, we have obtained the green light for the extension already. We have good news to come on the optimization of the size of the turbine and so we will be in the right position now to negotiate a corporate PPA and in during the spread, the other good news is that the price in the UK has also increased a lot. So the demand for green electricity is even higher. On the Limekiln project why we have not gone further than the power which is 105 thing and what that thing is correct, Nicola. Yes. And it's because of the interconnection limitation, but we have the interconnection. We have paid for it in advance the necessary payments. So we have an interconnection for the project which is also a limited resource. So as you can imagine in northern Scotland. So next step is to obtain the modification of the size and to negotiate cooperate PPA, we have already some conversation on that with the team, and then finalized financing and procurement and all those things. And obviously, we're discussing with turbine suppliers about the supply. The power I'm sorry, I said 105 is 110 megawatt.
Nelson Ng: Okay, thanks for the additional color. And then my next question relates to, I guess, France, where all of your projects that are going to be completed or built over the next two years are located in France. And obviously everyone's talking about project costs inflation. Can you talk about your project costs in France, whether you're seeing inflation there? And then I guess the other big picture is that does it really matter given that I believe some of those projects, you will be receiving the merchant power price? So I guess, it's probably doesn't really matter if you have to pay more to get those projects built.
Patrick Decostre: Yes. Essentially for all the projects, which are already under constructions, I confirm and like, last quarter that we have no issue because we have frozen the cost at the start of the construction, and we are like not EPC contract, but lump sum contracts for all the different parts of the contraction. So this is the first point in the first good news and it's the case even for the large project of Michelangelo. The second point of your question is interesting and the answer is yes. We have optimized also a little bit like Limekiln, we have optimized the size of different projects obtained building permit modification to a bigger turbine lower SUE at equal cost. And then since the cost has increased, we have still project with acceptable return and this will be somewhere the worst case scenario because obviously we are we have the experience since five years to sell electricity merchant in France. And we will try to be as agile as possible to catch. It could be through merchant for the first year and then corporate PPA after that or stay merchant a longer period or find a corporate PPA from day one at an acceptable price, so all those things is underway. What it shows strategically is that our move to work into commercialization I think we mentioned years ago that we start this part, thinking that it will be useful one day or another and day to day.
Nelson Ng: Okay, got it. And then just one last question. Big picture on Quebec like obviously, there's a lot of opportunities there and you're also working with Hydro Quebec and energy. So, can you talk about your strategy and Quebec, whether it will be working with your partners’ energy or Hydro Quebec, whether you'll be bidding on the upcoming RFPs with partners or on your own. Can you just big picture talk to me, tell me your approach there?
Patrick Decostre: Essentially, we will and we have announced that we have this important partnership with energy and Hydro Quebec for 300, 400 megawatt project. We will continue to work on the two possibility which is continue to try to propose project to Hydro Quebec in their three gigawatt what they announced three gigawatts off project with partners and also, obviously the one, the different RFP, the one which is coming in July and the other one, we will work on these projects. And it's very good news. I think what has changed if you go back from the RFP in Quebec years ago, is essentially the size of the turbine. When you bid in 2014, 2013 the size of the turbine was not what it is today. So you can this open at a reasonable as COE other area of Quebec, which is also very interesting.
Nelson Ng: Okay, thanks.
Bruno Guilmette: If I can add to that comment also, Patrick mentioned that 300 and the 450 this year, but also has been announcement for 1,000 of wind after that and 1.3 for renewable energy. So I think there's and this is really separate from the 3,000, there are two processes right now in Quebec, so the market is really strong.
Nelson Ng: And you might participate in more than obviously more than one. 
Patrick Decostre: Yes, in both. Again we didn't stop in 2018. When the market close, we didn't stop developing, we continue to nurture our project. And today we are ready to continuing to accelerate on that.
Nelson Ng: Okay, got it. Thanks a lot. 
Operator: Thank you. And our next question comes from the line of Sean Steuart with TD Securities. Your line is open. Please go ahead.
Sean Steuart: Thank you. Good morning. Couple of questions, just follow on New York and wondering if you can remind us of when the next schedule for RFP is there? And does everything that's going on with trade restrictions, supply chain disruptions, etc, investigations, does that potentially delay the next RFP for your perspective or not?
Patrick Decostre: I think there is a small, it's the same time, May 1 is the same timing every year. So that will be end of August, beginning of September. The point is, during the last 10 years in renewable it was interesting thing to obtain a contract, develop the project because in between the TOE has gone down a little bit. Today with the inflation context and uncertainty context, since there is clear commitment and target from the different states, we think it's good to invest in the right project with the right fundamentals, and then bid when we are more closer to the possibility of financing and ordering the equipment. So the strategy is potentially a little bit different, potentially for some years. So that's what we will do. But since the fundamentals remain strong we think that developing the right project will still create value for the company.
Sean Steuart: Thanks for that, Patrick. Second question I had is on Europe more broadly beyond France and what we're doing in the UK. Can you speak to just how strong the current spot price environment is in the continent in general? Does that accelerate potential interest in expanding your footprint out of France predominantly? Does that expedite your initiatives to broaden the footprint for the company in Europe?
Patrick Decostre: Yes, sorry, that that's carry in our strategic plan, and for sure, the signal of energy independence of Europe which is important in every country. And the difficulty of the nuclear industry again, this is pushing? Well, I don't see when the, yes, the price would not stay at the level of the next winter. But for the next three years, there will be a higher price. And I'm pretty sure that it will not plan the around the 40 Euro in the near future. So the answer is yes, we will know since we have closed the transaction in France. We have a good partner, the right partner in France and this is, the engine is working well there. The team will have more time to dedicate to look to opportunity outside France in the near future.
Sean Steuart: Okay, thanks for that, Patrick. That's all I have.
Operator: Thank you. And our next question comes from the line of Rupert Merer with National Bank, your line is open.
Rupert Merer: Couple of questions on France, firstly with the strong performance you have there right now and maybe getting stronger to most contracts, do you see any risk of windfall taxes and if not maybe if you can give us an update on what the outlook cash taxes looks like right now. What’s your tax horizon?
Patrick Decostre: I’m not sure that this could take the form of windfall tax, but you never know. Just as the information there was yesterday in [Indiscernible] the French newspaper and articles saying that the French state is trying to find a way to finance a part of vertical, which is probably in English and think that the limitation of the men in the street tariff by getting some of our improved revenue. So they’re thinking the way to do it, it’s clear they have not find it yet. And we’ve contracts which have been signed, we’ve a contractual agreement which clearly stipulate what is the [Indiscernible] today. So the answer is, there is a risk, but we will continue to work with the state if needed if they bring compensation, serious compensation, there could an industry agreement but I don't know where it will go. I think globally there is we mentioned that with some previous questions. The environment will remain good for us could be through corporate PPA, could be for new project could be ending existing project. So I think we need to be very nimble. And also if there is any move from the French state to do what we have to do.
Rupert Merer: Great, thank you. And do you have a sense of where you sit on the horizon for cash taxes now just as a normal course?
Bruno Guilmette: We didn't hear your question Rupert. Could you just repeat it, please?
Rupert Merer: What is the outlook for cash taxes in the French business today? What is it? What are your tax shelters look like today? 
Bruno Guilmette: We're taxable. We're paying taxes in France at the moment, Rupert.
Rupert Merer: Okay, excellent. And then just one final one on France. A lot of your…
Patrick Decostre: Sorry, just to add on that Rupert. Just an add on because of minimum taxes.
Rupert Merer: Okay, great. Thank you. If I look at your construction in France, it's largely repowering today. How are you going to stagger the repowering? Are you able to, say remove a few turbines at a time? Are you taking the entire project offline while it gets rebuilt? And does this high spot power price impact your behaviors when you're repowering?
Patrick Decostre: Yes. That's a good point. We are trying to optimize when a contract comes to an end, we are trying to really optimize the duration of the repowering. In the past when the price of the spot price was lower, it was not interesting to remain in operation, because and we try to reduce the replacement time as much as possible. Today, we try to be flexible. On the other side we have ordered turbine some months ago so we cannot, we're not able to change everything, but the answer is we are trying to manage our portfolio as much as possible and could be possible linked with the supply chain difficulty, the high price that we maintain on existing assets for months or two, three years and then and the authorization of repowering will remain available and valid. And then do the repowering when it will be the time when if the price are going down. So all this is on the table and analyzed by the team.
Rupert Merer: So what does the disruption look like to the operating wind farms as you repower them? Do you take them offline completely? Or are you able to stagger the turbine replacement in a repowering? 
Patrick Decostre: Yes. It depends on the site. For example, in [Indiscernible] when we did it two years ago, it's on the rich in the mountain, and we were not able to build foundations in another place because the authorization was like this because of many constraints. We were not able to build a foundation next to a wind turbine in operation. In [Indiscernible] we are building the foundation not exactly at the same position. So, we are building foundation while the existing turbine are still in operation, but when we start we want to start to build to erect the new turbine we have to dismantle the other before obviously. So there is, we are really working on the logistics on that and we have four project in this situation plus [Indiscernible] also we have already experienced and we have experienced also with suppliers who are buying the turbine buy back and reuse them spare parts or to reinstall them. So that's also something that is improved. And I think we are with a good organization of the team.
Rupert Merer: Great. Thank you for the color. 
Operator: Thank you. And our next question comes on line of Ben Pham with BMO. Your line is open. Please go ahead. 
Ben Pham: Okay, thanks. Good morning. I want to go back to your solar project. So only because it's a relatively large chunk 200 megawatts or so. Do you think that I know the tariff situation is it's unclear on timing and outcome, but when you work backwards here, permitting and construction, do you think there's still a chance you can put those projects in by 2025?
Patrick Decostre: Yes. The answer is 100 megawatts of these projects are in California. We are waiting for the upgrade of the grid of existing grid connection on existing solar site. When I look to the pattern of the Californian market the last weeks, I think they need more storage, that's my understand thing, because they have so much solar in some part of the day. But the grid operator to which we apply for grid connection modification is taking his time. So that's one thing. So it essentially depends on this part of the project authorization because we have the land. We know what we want to do; we just have to give this confirmation. I think we apply almost one year ago and at that time, we said it was Q2 last year and we said its 18 months, there is some constraints on grid operator generally speaking in the U.S. with staff. They don't have the necessary staff to work on the queue. So this is slowing the industry. The other project, the 77 megawatt project is in New York. It depends when we will have the commercial confirmation of this project. So I think there is nothing which oppose which is against the bus we did to connect with before 2025. But I cannot confirm today that we have everything to start construction.
Ben Pham: Okay. The solar projects referencing, right, Patrick is that?
Patrick Decostre: The storage.
Bruno Guilmette: Patrick was talking about the storage project. Was your question about storage or solar?
Ben Pham: Yes, apologies is it about the solar, the solar project?
Bruno Guilmette: Okay, sorry, we the line is bad this morning. And so, we have [Indiscernible] to understand some of your words sometimes. Yes. The main point on this project is it will depend of the present inquiry on Asian supply in the U.S. I think we have to view it also Boralex is diversified. We have we have wind project in France, we have solar project in France, we have wind project in the UK, we have wind project in Quebec. If there is something which is delayed in the U.S. more than a confirmation by the end of this year, about the new rules in the U.S. it will not hurt too much to company and we will be able to restart when the market will really restart. So I think that's why we keep all the interest to the U.S. but I cannot guarantee you that we will be able to connect before 2025.
Ben Pham: Okay. Just one.
Bruno Guilmette: Sorry Ben, can add a bit. There's one more thing I'd like to add on the U.S. market. Given our financial position, given our cash position this sort of market volatility and disruption to a certain extent is in our view also an opportunity for us as less capitalized less well capitalized companies may find that they're struggling a little bit in the short term. So certainly that could be an opportunity for us to look at some of these companies or to look and have discussions with some of these developers for medium term growth.
Ben Pham: Okay, so it sounds like it goes to my second question. If you were to take a very pessimistic view of U.S. solar, let's say you just wiped out all of these projects. And you seem there's no U.S. or growth for Boralex. You think you have enough stuff and I'm not saying that happens faster? I'm just saying like, there's just my question is, why do you have enough projects and France and Quebec and maybe M&A to take up to 4,400 megawatts?
Bruno Guilmette: Yes, yes. Yes, the answer is yes. And we will think there was a question to see, do we want to accelerate as were in Europe, this is also part of the strategy. There is other, there is potentially other opportunity in other provinces in Canada as well. So if we think that the U.S. market is slowing down for a period. On the long term, the U.S. market will be a good market for sure. So like it happened in Canada in 2018, we continue to develop our wind project. And today, we're very happy to have them already almost already developed. So I think it's the same diversification of risk.
Patrick Decostre: Maybe if I could add one point on that is the fact that we need to continue to develop those projects, optimize the project, look at the opportunities, like Bruno said in the U.S., because there will be some opportunities, and we have the capital in place to act rapidly. So we're not giving up on this market, that's for sure.
Bruno Guilmette: No. And when we have conversation with NYSERDA the last weeks, they are aware of use the of the situation, they are committed for 2030, 70% of green electricity. And they are considering Boralex as a very good developer in terms of how we consult local communities, municipalities and how we develop our project because they want the project to be connected in the next year. So I think we have signaled that we it's good to continue to develop and we are we have the right team to do this.
Ben Pham: That's very helpful. Thank you. 
Operator: Thank you. And our next question comes from the line of Andrew Kuske with Credit Suisse. Your line is open, please go ahead. 
Andrew Kuske : Thank you. Good morning, um, maybe if you could just give us some perspective on how your risk management approach has changed, or maybe evolved most recently. And I guess there are a few elements to it. There's obviously just from a financial standpoint, with the volatility that we've seen maybe heightened volatility for a number of reasons. And then also from an operational standpoint, as you're dealing with supply chain issues from the OEMs. And then just a bunch of issues that happen in the industry from an EPC. standpoint. So any thoughts on risk management would be appreciated?
Patrick Decostre: I think Patrick alluded a bit to it, but certainly from an operating and contracting position we're very nimble, and I have constant discussions with suppliers. These clearly our financial position and our large projects that are coming up are a plus in those discussions and having those discussions being able to secure the equipment when we need it. So we contract more quickly from that perspective and from a financial perspective, we also look at how we can for example, hedge interest rates quicker earlier in the process, because we see those potential additional higher peaks in interest rates coming. So that's certainly a few things we've done. We're in a good position having quite a bit of our portfolio on long term fixed rates for our debt positions. And we continue to optimize on that front also reducing our debts with the cash we've received recently will reduce some of our most expensive debt. So we're reducing our financial burden. Other areas of risk management, these are the sort of the key ones, making sure that we secure the equipment quickly and that we manage our financial exposure. I mean, that would be the two key points come to mind.
Andrew Kuske : Okay, that's helpful and then maybe just a kind of related question. When you think about just your hybrid model that you've been operating on the maintenance, where you've had some done externally, some done in house, I think in the MD&A you pulled a few more in-house. Do you see this as a growing competitive advantage? Or is it just you get better price tension with some of your OEM providers?
Patrick Decostre: Essentially, it's the question of cost, of optimization, of production and revenue and also on the risk to have big management teams in Trinity because we have to manage all those things. So we have internalized for a very long period in France and then last year, we have externalized to back some of the west French fleet, because we thought that the contract and risk sharing in the contract and how we can transfer a part of this risk to [Indiscernible] and have the right performance of maintenance from them was good. But we are continuing to internalize other maintenance dimensions of other assets, typically the ones in Canada and in France that the move is all [Indiscernible] because there is there is a gap between cost and performance by doing our self and custom performance by remaining in a contract and I think in the environment of high price 0.5% of availability at the right time has more value than 0.5% of availability, when you’re under contract, so we are looking to maintenance also differently on contracted assets and merchant assets.
Andrew Kuske : Okay, thank you. That's very helpful. 
Operator: Thank you. And our next question comes from a line of Nick Boychuk with Cormark Securities. Your line is open. Please go ahead. 
Patrick Decostre: Hi Nick, are you there?
Nick Boychuk: Hey guys how are you doing. 
Patrick Decostre: Okay. We can hear you.
Nick Boychuk: Sorry. Good morning, guys. Just two quick follow ups. First on storage, Patrick, you mentioned that the California opportunities could get developed by 2025. Are you seeing any additional demand though, for this type of baseload generation or storage capabilities, any other geographies or project types that you could add to the backlog?
Patrick Decostre: Yes the answer is not in Europe billion but yes, in North America, and every place there is a need for storage in New York State or New York grid. There could be a need of storage in Quebec for [Indiscernible] which is not the same than displacing solar production in California. And I presume with my experience of grid operator that in Ontario, there will be need for storage also. And there is one project which is known, which is not the Boralex project, which is locking in Ontario. So the answer is yes in North America, I think that will be more need of storage, specifically with new wind and solar capacity connecting to the grid and the difficulty of doing big interconnections between the different system which are interconnected, but not meshed, like the one in Europe.
Nick Boychuk: Got it. Thank you. And then Bruno coming back to your question about or you're coming with the M&A opportunities and something I was going to ask, are there any other details you can provide on the types of projects that you're currently seeing that could be undercapitalized or that could be attractive opportunities for you either by region in the U.S.?
Bruno Guilmette: We're really trying to stay as opportunistic as we can, looking at targets as we did talk today a little bit, or quite a bit about the changes in the market in the U.S. especially. So we're trying to stay open by the combination of assets that we can optimize, improve, operating or near operation. And as I mentioned, development pipeline which could come under pressure at the right price for acquisition because we want to stay in discipline on acquisitions. So this is what we're looking for size. Size is also a factor that we look at when we look at acquisitions has to be the right size for us. And markets our team is focused on looking at certain states. So yes, when I mean, we've seen quite a bit of M&A opportunities lately, and we expect that to only increase in the coming months, especially in the U.S. but we're also looking at possibilities to expand in other European markets as Patrick mentioned before, to development but also on M&A.
Nick Boychuk: Okay. Thank you very much. That's it for the day.
Patrick Decostre: We'll have, we've completed determine the transaction with our partner in Europe and France EIP and basically, we have the cash in the bank by now. And we are surely an attractive buyer for these kinds of assets and companies that we've talked about.
Operator: Thank you. And our next question comes from a line of Naji Baydoun with IA Capital Markets. Your line is open, please go ahead. 
Naji Baydoun: Hi, good morning. Just wanted to go back to Quebec, can you just clarify what the expectations are for the national projects with the announcement of Hydro Quebec others can be developed outside the RFP processes or in addition to those?
Patrick Decostre: Yes, yes, it's clear project. We have developed and we have terms of agreement on the power price for these three different projects. And this is totally outside of the RFP. It is inside the 3000 megawatts that Hydro Quebec announced as the partnership they want to do with the say it could be private player, it could be first nations, it could be municipality. But we have signed a big part of this.
Naji Baydoun: Okay, that's fantastic. And I think it's a one third partnership in each project and I think at some of your filings, you had them potentially starting construction at the end of next year with commissioning sometime at the end of 2025. So have the power price agreements mostly locked up, what are some of the next steps of the milestone to these projects?
Patrick Decostre: Essentially, the project will be construction will be triggered by two things is first obtaining the building authorization and this is the consultation processes is underway. And the second point is the confirmation by Hydro Quebec of their need. And it could trigger one project and then second one and then the third one depending of their need, but it's on their table. It's available and we're ready. And we have obviously since it's a significant volume of turbine of power. At least turbine says it's less because it's a big turbine today. But it's a significant amount of power. We have the interest of the large turbine OEM and we're discussing directly at the top of these companies to settle the contractors’ project when it would be needed by Hydro Quebec.
Naji Baydoun: Okay, understood. So you can develop them sort of in a staggered fashion one after the other and maybe sort of find the sometime later this year or the next year once you have all the authorizations and confirmations?
Patrick Decostre: Yes. 
Naji Baydoun: Okay. Just one last question for me, obviously you're going to start to have more capacity coming offline or not offline, sorry, off contract in the next few years. And I think in the past, you have talked about trying to find a balanced mix of repowering, this corporate PPAs. But now with the current power price environment, how does that dynamic sort of impacted your approach to those types of decisions for the projects coming off contracts? 
Patrick Decostre: Yes. It's a good point. Essentially, the development costs of obtaining modified authorization to repower a site is not very, very vague. And this is one of the interests of repowering. That being said, I think, and we think we should continue to invest in these development costs to have an option. And when we have a repowering authorization, it lasts for its valid for a certain period of potentially three years, I think, but we can extend that also. And with European situation there is also a clear signal from the European Commission. I think it comes to just yesterday to say that they will push globally in Europe to different countries to accelerate repowering authorization. Then shortened the time of instruction, but and on the other side, obviously if the price remained over 200 Euro per megawatt hour, it's better to operate the existing site as long as the price remained there. I don't think it's sustainable to have a price over 200 Euro per megawatt hour for years. So, it will go down one way or another. And at that time, we will have the possibility to trigger the option to trigger the repowering quickly because we have the authorization with the permit with us. And also we are discussing with off-takers for the repowering because it could be through tenders or tariffs system like today but it could be also called operate PPA.
Naji Baydoun: Okay. I guess what you're saying is repowering at a very small cost it's like a free option I gives you more optionality and what you want to do with those assets within a certain time window of several years. Okay, got it. Thank you very much for those details.
Operator: Thank you. And I'm showing no further questions at this time. And I would like to turn the conference back over to Stephane Milot for any further remarks. 
Stephane Milot: All right, so thank you, everyone, for your attention. If you have any additional questions, so please call me at 514-213-1045. I'll make sure we quickly answer your questions. So our next call we will announce second quarter results will be on Wednesday, August 3, at 11 am. So hope you all to see. Have a nice day everyone. Thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect. Everyone have a great day.